René Goehrum: Hello, and welcome to the BioSyent Q2 and First Half 2021 Results Presentation. My name is René Goehrum and I'm the President and CEO of the company. I want to start today's presentation with a look at our sales, EBITDA and net income after tax for the quarter ended June 30, 2021. So the quarter represented our 44th consecutive profitable quarter dating back all the way to Q2 of 2010 when the company turned profitable. Sales were just under $7.3 million up 53% versus year ago. And a couple of things I'd like to bring to your attention. In the year ago second quarter, we had some softness and take you back to a wave one of COVID in March of 2020, we had a surge in sales both for wholesale distribution of pharmacies and the hospitals doing some stockpiling. So what we found there was exceptionally high sales in March of 2020 and then a sharp drop off in April of 2020, and then a building back in May and June last year as kind of business normalized and then we proceeded to grow the business over that period of time. So this year we're working against a slightly depressed comp, but just to be clear that a plus 53% versus year ago, isn't just a kind of sales normalizing to the year ago. This is strong performance in our Canadian pharmaceutical business. Our international pharma business and bounced back by our legacy business as well. Tibella and Combogesic, both contributed to the sales growth and the breakdown was 51% up on pharma, Canadian pharma, 75% are international pharma and 74% of legacy business. Now we've been investing in launching both Tibella and Combogesic, and that'll be a theme going forward into the balance of the year and into next year. But our overall our business performance and profitability has counterbalanced the investments that we've been making the launch of those two products. So you can see in the quarter, our net profit margin in that 14% of sales versus 15% in the year ago. Taken on a six month basis, sales were up 36% made up of 24% growth in the Canadian farmers. So you can see more of a normalization as opposed to just a shorter, a shorter burst over a quarter's comparison. International pharma business up dramatically and that is due to a large shipment to our largest market in the first quarter of year. And then you can see the legacy business performing well over six months. And what we've witnessed is a resilience of our established brands. So the Canadian pharmaceutical products and during COVID where much of Canada has been locked down, kind of in and out and you have to take it back to this as a June 30 end and in many parts of Canada, Ontario and Quebec, for example, a big chunk of the first six months of the year, we were in lockdowns rather than essential services. So in that environment what we've seen is as much as healthcare is essential access to healthcare professionals, patient traffic in the doctor's office is down. So to see our Canadian pharmaceutical business perform like this is encouraging for all to have a plus 36% top-line at $14.7 million, EBITDA of just under $3.9 million and net income after tax of just under $2.7 million is encouraging for us. You can see here taken over a six month period of time that the net impact of promotion expenses offset by increased profitability on other brands and other businesses working out to 18% net margin this year versus 20% in the year ago. So if we drill down a little further on the units, you see here that the Canadian pharmaceutical performance is in the quarter FeraMAX was up 45%, 18% taken over six months. So that was some of the impact that I mentioned from COVID wave one, March of 20 versus April. However, we've had a very strong quarter with FeraMAX and a good demand and not a lot of the sales that you see here kind of sitting in wholesale inventory. So that has that has moved through well, 18% for the full year performance on an established business. And we think there's more growth in this business. And I will be speaking in a couple of slides about some further steps were taken on our FeraMAX life cycle strategy. You can see here that RepaGyn, Cathejell also benefited from a comparison to the year ago period, though taken over six months, six months where you've got a normalization of the COVID effect in the first half of last year, or I should say the second quarter of last year, you see strong performance over six months plus 15 on RepaGyn plus 29 on Cathejell. The Aguettant businesses is somewhat different. You can see clearly that that's the only red number on the page. So Aguettant system down 11%. We did see a surge in Q1 at the outset of COVID last year. So we're working against a fairly high comp .That business has normalized. In the quarter this year we've done well at plus 13% on Aguettant system, but you can see on a six month comp, we are down 11%. Don't be fooled by the Cysview units here that that business probably has been the most effected by COVID just in terms of procedures in the hospital in 2020 wave one. And so any business we do this year just looks good in comparison. The business is still performing well below expectation, and I've got some more comments on that in a couple of slides. And here you see the international pharma business with a modest contribution for the quarter of $165,000, but importantly, up versus the year ago quarter, and then on a full year basis, we have the impact of that large order to one market that went out in January this year. So overall the business performing well over a six month period, and really is an indication that last year's performance for our international FeraMAX sales was somewhat of an aberration. And we're working hard to both diversify markets and diversify products in those markets. And here you can see our legacy business fairly comparable in terms of indexing versus year ago, both for the quarter and for the half. We had a soft year last year on the legacy business, and it has bounced back somewhat to this year as well. So I've mentioned a couple of times COVID impacts/ I'm not going to go through a long and winding road discussion on this topic. I think folks are fairly familiar with those businesses and companies that have been dramatically impacted, so somewhat less. So what we have found is our established brands have performed well. As I mentioned, this has been led by FeraMAX. We're seeing continued access restrictions in the hospital, in that community, physician's office and specialist's offices generally and this has really impacted the launch trajectory for Tibella and Combogesic. They're different products in different therapeutic areas, one for women's health and one in pain and COVID has affected them differently, but the traffic that we're seeing in the doctor's office is still down. In fact, we see and I've gotten many of our normal kind of call cycle where the doctors just aren't seeing patients at all. They are seeing them through remote means through tele-health or Team's video or just telephone and that Tibella at least half the physicians that we've surveyed want to do an in-person assessment of women that are post-menopausal before initiating a hormone replacement therapy. So that's had an impact on the Tibella business. And Combogesic, our strategy is to work with healthcare professionals and introducing the product. So it has not benefited from patient traffic in the doctor's office. I think I've already spoken to the impacts on FeraMAX. I think our distribution partners have been able to push through some of the barriers that were presented by COVID and some other things that more of a geopolitical nature that came up last year and conspired to really suppress that business. And it is clearly performing better this year, not necessarily just a pushing through COVID challenges. We've spoken in the past about some things that we've done with the FeraMAX brand. It's obviously important to the success of our company and we're leaning into the business. We think it's a great opportunity to grow overall the value in our company. We introduced last October, the new FeraMAX PD product innovation and new patented delivery system, polydextrose iron complex, it replaced in Canada, the existing FeraMAX formulation. We launched our first product on that basis, FeraMAX Therapeutic 150. That product was launched late last year. As you could see from previous slides, that brand is performing well in the Canadian market and we've got a lifecycle strategy internally derived for new product offerings to address needs that we do not think are being well-served by current product offerings, both competitive and FeraMAX quite frankly and we think there's an opportunity to grow market share. And in in fact expand the market for iron therapy and iron health of Canadians. So this year, just a couple of months ago, we had also announced that FeraMAX was named the number one recommended oral iron supplement for the sixth consecutive year by both pharmacists and doctors in Canada. So we're encouraged by the strong support of the healthcare community, by patients and we're excited about some innovations that that we've got coming to market. I'm not going to be talking in detail about those. I'll just say that FeraMAX continues to position itself in our portfolio as a key driver of growth into the future, both top line and profitability. We have got some additional launch activity on top of the FeraMAX PD Therapeutic 150, the first product. We've got some further activity planned for later this year in the second half of '22 and in fiscal and calendar 2023. There are some other things that are also on the drawing board that could come into market within the time ranges that I've indicated here probably '23 and if not to make it pushed out a little bit further also once again, to address some additional unmet needs in the market. Late in July last year, we launched Tibella hormone replacement agent for menopause therapy, and that what we're seeing now after being in the market and promoting for about a year is that some key thought leaders across Canada are now accepting Tibella as first-line therapy and we're very encouraged by that. This is a typical kind of compounding prescription type product. Compounding is in the business effect of it is compounding women take this product for varying durations up to five years post-menopause and then finally also a key growth driver as we see kind of our business evolving over the next a year or two, three, four years is a Combogesic. We announced that product in the market at the end of last year. And we started promoting it in the first quarter of this year. And it is now available in about 4,000 pharmacies across Canada? So when our first portfolio reshaping, since we embarked on our pharmaceutical strategy for our company is something I'd like to just take a couple of minutes to talk about. So we are going to be returning the license rights, and we're going to discontinue the sale of Aguettant system, prefilled syringes and Cysview. So they will no longer be part of our portfolio as of the end of this year. And that really will allow us to focus on assets in our portfolio that can more significantly contribute to revenue and profit growth and provide us a better return on investment. Don't have too much to say on the change, other than these steps are planned and coordinated with our partners, and that we just want to focus our time and our attention and our capital on growth -- real growth drivers in our business. So it's a significant move, as I say, that our first reshaping of the portfolio and just redirecting our attention to what we think our growth assets. So the aforementioned FeraMAX products, both existing and part of our lifecycle strategy, Combogesic and Tibella. In addition for FeraMAX, we announced an in-licensing of a unique technology application that will assist us in driving market share for FeraMAX through awareness compliance and treatment success. So that was announced in licensed and announced in July. And the team is working hard right now to get that technology into the market by the end of this year. I want to turn our attention now to our cash position and return on equity. On June 30, we had just under $25 million in cash on the balance sheet and cash and near cash. If you're a long time follower or a short time follower of the company for that matter, you know that we have zero debt, zero long-term debt. We've built our business basically self-funded through cash generated over those 44 consecutive profitable quarters. Over the last 12 months ending June 30, we generated cash from operations of $4.3 million and our cash position has grown since year ago, $21.5 million despite further investments in NCIB though. They go back some time. There's been nothing in this most recent quarter, but in the first quarter, I believe we were active under our NCIB. That cash position is strong. We're looking for opportunities to invest that capital productively to earn returns on investment, to which we expect and you know that we are investing in Tibella and Combogesic. We think that's a really good use of our cash position and in a couple of slides, I can show you what the net effect of that has been on our earnings per share. I mentioned NCIB, as you know that we've got now we're into our third NCIB. We started the program with the first NCIB back in December of 2018. Over that period of time to August 20, we bought back about 1.67 million shares representing a reduction of about 11% of our fully diluted at an average cost of $6.6. We continue to monitor the market and to look for opportunities to buy back shares. So that's still an active part of our strategy. Just there has not been any -- there have not been any purchases, I believe since the end of the first quarter this year. I made mention of the impact of Tibella and Combogesic launch investing on our earnings per share. So I'm going to pull that together for you here. In the quarter, second quarter, we had net income just over $1 million, $1.18 million, which represented $0.08 a share fully diluted. So you can see that that was up from the year ago, at $0.06 in the second quarter but in this case down somewhat from the first quarter of this year. So you see early two things at work. Although the top line was marginally lower in the second quarter versus the first, that represented a shift or a change in the mix of our revenue. So that first quarter, top line included $1.1 million in international FeraMAX sales. That's a high margin business for us, and is taxed differently than the Canadian pharmaceutical operations. So that's just one thing to point out on the difference between $0.08 and $0.13 cents. But in the quarter, we invested the equivalent of $0.06 a share fully diluted in true net new spend on Tibella and Combogesic. So you can see that we're investing, we're using our capital to grow assets to launch and grow our assets that are going to contribute to the long-term success of the company. Just a quick snapshot here, I've touched on this piece a few times. One thing I'd like to point out here is we've got about 173,000 share options outstanding. We've not issued any share options since I think the beginning of the first quarter of 2019. So it's been over two years since we've issued any share options. We've pivoted to using a restricted share units for a longer term equity compensation in the company and what we're doing is buying in the open market to make sure that that plan is funded and to the extent that we can manage practically will not be diluted. On a fully diluted basis, we're just over 13 million shares outstanding. And just to draw your attention to the math on the cash on the balance sheet, we're just -- we're approaching $2 in cash on the balance sheet and we're well aware of that calculation. I know that some of you will be making that calculation. So just to save you, pulling out the calculator and we're working hard to invest the capital and if we can invest that capital to earn those same rates of return and the discussion of returning capital to shareholders is always on the table. Wanting to thank you for your continued interest and support and we look forward to reporting how we're progressing with the business and this continues to be a very challenging year. Thank you.
End of Q&A: